Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Molina Healthcare First Quarter 2017 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded today, Tuesday, May 2, 2017. I would now like to turn the conference over to Mr. Juan José Orellana, Senior Vice President of Investors Relations. Please go ahead, sir.
Juan José Orellana - Molina Healthcare, Inc.: Thank you, Colin. Hello, everyone, and thank you for joining us. The purpose of this call is to discuss Molina Healthcare's financial results for the first quarter ended March 31, 2017. The company issued its earnings release reporting these results today after the market closed, and this release is now posted for viewing on our company website. Additionally, we announced certain management changes today that we will also be discussing. On the call with me today are Dale Wolf, Chairman of our Board of Directors; Joseph White, our Chief Financial Officer and Interim Chief Executive Officer; and Terry Bayer, our Chief Operating Officer. After the completion of our prepared remarks, we will open the call to take your questions. If you've multiple questions, we ask that you get back in the queue, so that others can have an opportunity to ask their questions. Our comments today contain forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act. All of our forward-looking statements are based on our current expectations and assumptions, which are subject to numerous risk factors that could cause our actual results to differ materially. A description of such risk factors can be found in our earnings release, and in our reports filed with the Securities and Exchange Commission, including our Form 10-K Annual Report, our Form 10-Q Quarterly Reports, and our Form 8-K Current Reports. These reports can be accessed under the Investor Relations tab of our company website or on the SEC's website. All forward-looking statements made during today's call represent our judgment as of May 2, 2017, and we disclaim any obligation to update such statements, except as required by the securities laws. This call is being recorded and a 30-day replay of the conference call will be available at our company's website, molinahealthcare.com. I would now like to turn the call over to the Chairman of our Board of Directors, Dale Wolf.
Dale B. Wolf - Molina Healthcare, Inc.: Thank you, Juan José. Good afternoon, everyone. On today's call, I'll start by providing some context around the board's decision to make the leadership changes that we announced earlier today, and then I'll turn the call over to Joe White to discuss our results for the quarter. In light of the company's disappointing financial performance and after careful consideration and analysis, the board determined that a change in leadership was necessary in order to drive profitability through operational improvements and other initiatives. The board believes that now is the right time to bring in new leadership to capitalize on Molina's incredibly strong franchise and the opportunities we see for sustained growth going forward. To be clear, these changes represent targeted and deliberate actions to enhance the company's focus and improve our competitive position within the industry. We're pleased to have someone with Joe's experience, institutional and industry knowledge capable of serving as our Interim President and CEO at this time. Joe has over 25 years of financial management experience in the healthcare industry, and served as Molina's Chief Accounting Officer since 2003. He has led the company's most recent operational improvement initiatives and is a widely respected leader both within the company and in the greater healthcare industry. Separately, I'm honored to have the opportunity to serve as Molina's Chairman and lend my experience to help guide the company forward. The board remains sharply focused on ensuring an orderly leadership transition and is commencing a search process for Molina's permanent CEO. In the meantime, we're grateful to have Joe at the helm. I would be remiss if I did not say the board appreciates Dr. Mario and John Molina's leadership and contributions for more than two decades, and looks forward to their continuing insights as directors. I want to assure you Molina's business remains strong. The company has an outstanding brand and franchise built over three decades, based on a focused commitment to mission. The board is committed to continuing this mission, achieving operational excellence and improving the company's financial performance on behalf of our shareholders, our more than 20,000 employees and our over 4 million members. We believe we can capitalize on Molina's strengths to build significant shareholder value. Now, let me turn the call over to Joe to review the quarter.
Joseph W. White - Molina Healthcare, Inc.: Thank you, Dale, and thanks to everyone for joining us today. Today, we reported net income per diluted share of $1.37 and adjusted net income per diluted share of $1.47 for the first quarter of 2017. This compares to net income per diluted share of $0.43 and adjusted net income per diluted share of $0.51 for the same period last year. First quarter results includes a $75 million pre-tax benefit from the receipt of our Aetna-Humana break-up fee. This break-up fee added $0.84 per share to both net income per diluted share and adjusted net income per diluted share for the quarter. Today's results which are consistent with our expectations represent a notable step forward for the company. Now, I want to speak to some of the line item details in the financial statement. Premium revenue increased over 15% in the first quarter of 2017 compared to the first quarter of 2016, while membership increased nearly 13% during the same period. We added more than 500,000 new members in the first quarter, most of whom are rolled into Marketplace. While we are still early in the year, we think that, as of today, both the operational and the financial performance of our Marketplace product is better than what we saw in 2016. Of course, just has been the case in previous years, we can expect our Marketplace enrollment to decline during the remainder of the year. Our medical care ratio in the first quarter of this year was 88.4% compared to 89.8% in the first quarter of 2016. This 140 basis point decline in the medical care ratio was a result of higher percentage margins in our Marketplace and Medicare products. Our consolidated medical margin measured in total dollars increased by more than 30% to $537 million this quarter when compared to the same period last year. Our general and administrative expense ratio increased to 8.9% for the quarter, a 110 basis point increase from the prior year. But as we outlined during our Investor Day presentation back in February, these results are in line with our expectations for the full year. As a reminder, we do not provide quarterly guidance. As we've said on past calls, we adjust guidance only when we believe that there is a material change to the business from what we have previously communicated. As we announced in today's press release, we have confirmed our previously issued guidance for full-year earnings per diluted share and adjusted earnings per diluted share, while also updating that guidance to reflect the break-up fee associated with the Aetna and Humana acquisitions as these were not included in our original outlook. It is important for me to reiterate that this change only adds the termination fee into our existing outlook and that we have not made any additional adjustments beyond that. Also, please note that our outlook does not include an estimate for severance charges associated with today's announcement. Looking beyond 2017, we continue to consider our options for marketplace participation in 2018. I think everyone is well aware of the variables in play here, funding of the cost sharing rebates for both 2017 and 2018, continuation and enforcement of the individual mandate and risks of adverse selection all create uncertainty around the future of the marketplace. We are currently evaluating all our options for marketplace participation in 2018. We expect to decide upon 2018 pricing, geographies and product offerings in the coming weeks. Finally, as of March 31, 2017, days and claims payable decreased sequentially by two days to 45 days and the company had unrestricted cash and investments of nearly $5.3 billion, including approximately $270 million at the parent company. While medical claims and benefits payable were flat between the fourth quarter of 2016 and the first quarter of 2017, amounts due government agencies increased by almost $375 million or slightly over 30%. This concludes our prepared remarks. Colin, we are now ready to take questions.
Operator: Thank you very much. Our first question comes from the line of Kevin Fischbeck with Bank of America Merrill Lynch. Your line is open. Please go ahead.
Ziv Israel - Bank of America Merrill Lynch: Hi, this is Ziv Israel on behalf of Kevin Fischbeck. Can you comment on the timing of the management change, just seems a little unusual to provide guidance in February, then have the Analyst Day, and then change management or reaffirming the outlook three months later. Was there any concern about the ability to achieve this year's guidance or a general concern about the ability to grow from 2018 and beyond?
Dale B. Wolf - Molina Healthcare, Inc.: Hi, this is Dale Wolf. I think you're reading too much into any of those. They're unconnected. As Joe mentioned, we have affirmed guidance for the year. So it has nothing to do with that. It was merely a continuation of a process, of the board's evaluation of the road forward, and our sense that we were not keeping up with our competitors in terms of creating value for our shareholders. And that process obviously takes some time to work through and commentated in today's announcement. No more, no less.
Ziv Israel - Bank of America Merrill Lynch: Okay. So when you think about what Molina has to do from here, where are the biggest areas of change that need to happen under the new management? What do you think they should focus on or execute on?
Dale B. Wolf - Molina Healthcare, Inc.: I think it's premature to list out specifically. There's a lot of work to do both by new management and – with the oversight of the board in terms of what those areas of opportunity are, we have some thoughts based on experience, but they're merely that. And we will – this will fact-based and we will work with management of the company to identify those opportunities and communicate them when we can.
Ziv Israel - Bank of America Merrill Lynch: Okay, thank you.
Operator: Our next question comes from line of Josh Raskin with Barclays. Your line is open. Please go ahead.
Joshua Raskin - Barclays Capital, Inc.: Thanks. Good evening. So I understand, Dale, your comments around not keeping up with shareholder value and I think you can document that. I'm just curious in light of what appears to be a relatively quick decision, or at least one that was not inclusive of management in terms of that process, what sort of diligence did the board do around the impact on the business? I'm thinking about did you talk to some of the major states or stakeholders in the company? Did you guys look at RFPs that are coming up including rebids? Have you thought about a rebranding that maybe necessary? What's the total cost? Is there a potential impact to goodwill? All that sort of stuff, I'm just curious, I understand the perceived benefits, but I'm just curious on how you guys weighed that against the costs?
Dale B. Wolf - Molina Healthcare, Inc.: You asked a lot of questions in there, Josh. So I like to think that we considered all those factors and we do understand that there are a lot of RFPs coming up. I think those are pretty local market things, but we understand most of the other points you raised and it was just our sense that all things considered maybe not tomorrow or the next day, but this was the necessary and right thing to do for all of the constituencies of the company and not only the shareholders, but all the constituencies of the company.
Joseph W. White - Molina Healthcare, Inc.: And Josh, it's Joe. I would just add we are feeling very confident about re-procurement of the various RFPs that are out there.
Joshua Raskin - Barclays Capital, Inc.: And can you share maybe some of the feedback from those various state constituents, were they comfortable with this change coming?
Dale B. Wolf - Molina Healthcare, Inc.: As you might imagine, Josh, there was no way that it was appropriate for us to go and ask them what they thought about this and so we don't have any feedback, we didn't do that.
Joshua Raskin - Barclays Capital, Inc.: Okay. And then, I guess, just more internally, are there concerns over employee retention, just in light of the founder and family sort of having run the business for almost 40 years, I'm just curious if you've gotten any feedback since this afternoon.
Dale B. Wolf - Molina Healthcare, Inc.: I think it's a little early to tell on that. Changes like this take a while to fit in with the company. I met with the leadership team of the company today to just assure them of the board's commitment to the future of this company and commitment to the mission, notwithstanding the need for operational and financial improvement. And one of the things we talked about is the communication that would be needed going forward with employees to say those kinds of things to them and make them feel comfortable and a lot of those people joined this company because of its mission or certainly stayed because of its mission. And it would be crazy to do anything different than that and we don't intend to, we just need to communicate that to people in a time like this. You can't over communicate.
Joshua Raskin - Barclays Capital, Inc.: Okay. All right, thanks guys.
Operator: Our next question comes from the line of A.J. Rice with UBS. Your line is open. Please proceed with your question.
A.J. Rice - UBS Securities LLC: Thanks. Hello everybody. Maybe just first to ask, because I don't think it's been directly asked at least, so you're going through this process and you're now going to go out and look for a permanent CEO. Are broader strategic options on the table or is it strictly right now we just need to get a new CEO in here?
Dale B. Wolf - Molina Healthcare, Inc.: The latter. We've got a lot of confidence in the franchise that's here and the potential of unlocking shareholder value and that's what we're set about to do including hiring a new CEO.
A.J. Rice - UBS Securities LLC: Okay. And maybe Joe, if I could just ask quickly on two quarterly items, it looks like you reduced the PDR by $22 million from $30 million at the end of the year for the health insurance exchange and you said it performed consistent with expectations. Can you give us a little color on that? It also looks like you realized unfavorable prior period development in Illinois Medicare and Medicaid to the tune of $20 million or $0.22, can you give us some color on that as well?
Joseph W. White - Molina Healthcare, Inc.: Sure, sure, A.J. You have your numbers reversed on the Marketplace PDR. We brought in $8 million of the $30 million PDR we booked at 12/31. So we have $22 million left. So there is an $8 million PDR reversal in the quarter.
A.J. Rice - UBS Securities LLC: Okay.
Joseph W. White - Molina Healthcare, Inc.: In general, marketplace, as I said in my remarks, seems to be going better than it has in the past both operationally and financially. Unlike first quarter of 2016, first quarter of 2017 we didn't have a lot of unfavorable development of our estimates around risk adjustment, which was very welcome news. We feel like we're getting better setting those accruals. So in general, again, we're one quarter into the year, so I don't want to say too much. But so far, so good as far as marketplace for 2017. The Illinois situation, well, it's just one of those situations occasionally where in a given health plan, you have substantial unfavorable prior period development of claims. These are very complicated claims, often hospital claims that have extended back into 2016 and sometimes 2015. We feel like we gotten that cleaned up and feel like we're in pretty good shape going forward in Illinois, but it is about $20 million of unfavorable out-of-period development in Illinois this quarter for Medicaid, not Medicare.
A.J. Rice - UBS Securities LLC: Okay, great. Thanks a lot.
Operator: Our next question comes from the line of Scott Fidel with Credit Suisse. Your line is open. Please go ahead.
Scott Fidel - Credit Suisse Securities (USA) LLC: Thanks. Good evening. First question, just wanted to get a sense of – in terms of the longer term margin targets that John and Mario had discussed and committed to in terms of both the 4Q sort of exit trend on long-term margins and then what the company was aspiring to. Are you comfortable in sort of reaffirming those at this point or would that be sort of under review as Joe and then a newer CEO came in and sort of develop the strategic plan?
Joseph W. White - Molina Healthcare, Inc.: Excuse me. Well, Scott, to be clear, it's Joe speaking, to be clear, we walked those numbers back a little bit at Investor Day. We don't necessarily think we said in Investor Day in February of this year, we don't think we can exit that in that range, that margin range for 2017. So that's already been on the table. There's no reason, based on our confirming guidance today, we haven't gotten worse, but again, we need to go back and revisit those numbers. And as we said at Investor Day in February, we'll be back to you when we're more confident with something.
Scott Fidel - Credit Suisse Securities (USA) LLC: Okay. Joe, I had just a quarterly question just on – in California, it looks like the MLR large there year-over-year was pretty low, it came at 79.2%.
Joseph W. White - Molina Healthcare, Inc.: Right.
Scott Fidel - Credit Suisse Securities (USA) LLC: Was that just a function of the mix of the exchange numbers or was there anything sort of unique going on in the first quarter there?
Joseph W. White - Molina Healthcare, Inc.: No, it was just a marketplace issue. I mentioned that in total we only came down $8 million in our PDR for marketplace in the quarter, but we rearranged between states, and California actually took about a $25 million PDR benefit in this quarter. If you take marketplace out of California results, it ran in the mid-80s this quarter, which is a good quarter, but nothing extraordinary.
Scott Fidel - Credit Suisse Securities (USA) LLC: Okay. And then just one last question. Just on the sort of classic TANF and CHIP business, it looks like the MLR there was up around 260 bps year-over-year and it was sort of over 93%. So I know you cited some of the dynamics around Illinois. Just more holistically, though, just want to get a sense for the trends in that product line. And then was that segment profitable in the first quarter at that MLR? And if not, do you expect that to sort of be profitable for the full-year?
Joseph W. White - Molina Healthcare, Inc.: Well, to be clear, we've talked about over the last few years that premium increases for the TANF and CHIP business have been lagging what they need to be, have been lagging medical cost trend, and frankly, have been lagging other products. You're right that that $20 million unfavorable development in Illinois, that's predominantly TANF that has a huge impact on it. I would just say though, at a 93% MLR, I would say that TANF is borderline profitable.
Scott Fidel - Credit Suisse Securities (USA) LLC: Okay, all right. Thanks.
Operator: Our next question comes from the line of Ana Gupte with Leerink Partners. Your line is open. Please go ahead.
Ana A. Gupte - Leerink Partners LLC: Yeah. Hi, thanks. Good evening. Well, again back to the management transition, I guess the question I had was, when the board was contemplating these changes and you were looking at the root cause of your financial performance in the last whatever time period, did you see it more around you don't have the necessary scale and the diversification to maybe take a blip in a state like Ohio or enter a very challenging new market, like exchanges, or was it more about we're not executing correctly and the organization needs to be turned around or is it a bit of both and how might that play into how things move forward?
Dale B. Wolf - Molina Healthcare, Inc.: Ana, I haven't seen anything to suggest, and I think that I speak for the board, that we aren't big enough or not diverse enough to perform better than we have. And so until proven otherwise, I'm in the camp of it's just all about execution. Execution and paying attention to the day to day details of medical cost management, administrative expense control, and on, and on, and on. It's a great franchise. It's got great assets, and we just need to improve the results.
Ana A. Gupte - Leerink Partners LLC: Okay. I guess I'll just give like one example has been – I would say Aetna I think had some issues in the fourth quarter on exchanges and United sustained some unbelievable losses. But when you're making mid to high-single digit pre-tax margins on the rest of your book, and you have 10%, and exchange is losing 10%, it's still okay and you make your numbers, but in Molina you have 1% net margin on 90% of your business and then if you lose 10% on 10% that can be really move the needle, I mean that's where my questions is coming from.
Dale B. Wolf - Molina Healthcare, Inc.: Exactly. So my response to that is not to get rid of the 10%, you lost 10% on it to make the 1% net margin better, and that's where we're headed.
Ana A. Gupte - Leerink Partners LLC: Okay. That's helpful. Thanks, Dale.
Operator: Our next question comes from the line of Sarah James with Piper Jaffray. Your line is open. Please go ahead.
Sarah E. James - Piper Jaffray & Co.: Thank you. It seems like the biggest opportunity for margin improvement is on the exchange risk adjuster, specifically the encounter data capture. What is Molina doing to improve capturing risk adjuster data on the new exchange members and is there any improvement over last year on the percent of members that you have data on so far?
Joseph W. White - Molina Healthcare, Inc.: Sarah, it's Joe speaking. I think the answer to your second question is yes, we do have more information on our members. There are a couple of things at play here. First of all, we retained, I think, 80% or so of our December 2016 membership coming into 2017. We obviously have huge lag up in understating the healthcare conditions of those members. We've also taken a number of initiatives to improve data capture on risk adjustment and member targeting and member risk assessment. I think to some degree our ability to better estimate our risk scores at the end of last year might be a reflection of having better data on our members. And I think carrying over into this year, we've seen improvement. It's not a tidal wave, it's not a landslide, it's a lot of hard work, crawling through data, looking for clues and learning how to engage members. But I think we're doing well at it. And I think come 2018, where we have the change in methodology and we're allowed to bring on pharmacy data in support of risk scores, we're going to get even better.
Sarah E. James - Piper Jaffray & Co.: Thanks, Joe. And maybe if I take the comments that you made about spending more time crawling through the data and comments Dale made about an increased focus on medical management, how does that fit within context of your already planned IT investments for this year and where it might need to go under this new focus?
Dale B. Wolf - Molina Healthcare, Inc.: My opinion, Sarah, is that really a lot of our initiatives related to medical management, yes, there are technology initiatives, we're finding and implementing ways to reduce the number of screens, for example utilization management and medical management personnel have to click through as they address the members' needs, a lot of it is training too, and a lot of it is leveraging best practices from one health plan to the next and making sure that the knowledge is disseminated throughout the company. So it's not purely an IT solution. I don't think we're going to need massive increases by any stretch of the imagination in our CapEx or anything like that. I think what we're going to do is try to focus harder on learnings from one part of the company and bring them to bear in other parts of the company.
Sarah E. James - Piper Jaffray & Co.: Thank you.
Operator: Our next question comes from the line of Peter Costa with Wells Fargo. Your line is open. Please proceed with your question.
Peter Heinz Costa - Wells Fargo Securities LLC: Thank you. What percent of your business is up for rebid this year?
Joseph W. White - Molina Healthcare, Inc.: I don't have that (26:57), honestly, I got that number here, states that are up for rebid, probably about $700 million or $800 million of revenue, so $700 million or $800 million of revenue on our $18 billion – I'm sorry, 3.5%, sorry, doing this in my head, $3.5 billion to $4 billion of revenue on an $18 billion or $19 billion base.
Peter Heinz Costa - Wells Fargo Securities LLC: And that includes the Texas STAR+PLUS Program and the Florida Medicaid LTE program?
Dale B. Wolf - Molina Healthcare, Inc.: Yeah.
Joseph W. White - Molina Healthcare, Inc.: Yeah.
Dale B. Wolf - Molina Healthcare, Inc.: Peter, I'm sorry for my voice. It's really concentrated in Florida, Illinois, New Mexico, Puerto Rico is coming up in 2018. So that's a little bit beyond a year. But that's – it's really Florida, Illinois, New Mexico, Puerto Rico and Texas.
Juan José Orellana - Molina Healthcare, Inc.: Yeah, Peter, this is Juan José. There's a slide in the Investor Day deck. You can take a look at all the markets and the estimated timeframes for when those businesses are going to be reprocured.
Joseph W. White - Molina Healthcare, Inc.: Right.
Peter Heinz Costa - Wells Fargo Securities LLC: Yes, but doesn't have the revenues associated with it (28:10).
Dale B. Wolf - Molina Healthcare, Inc.: Yeah.
Juan José Orellana - Molina Healthcare, Inc.: Right.
Peter Heinz Costa - Wells Fargo Securities LLC: And moving on, there's a question regarding the process that you're going to go through for looking for a new CEO, so we kind of track that. What is your timeframe you expect that process to go through and when should we have a result from that? And then Dale, are you a candidate for that because you've run health plans before?
Dale B. Wolf - Molina Healthcare, Inc.: Let me take the easy one first. No, I'm not. I actually have a full-time job today. I have a company in Florida, a private equity company that I run and that's where I live and that's what I'm going to keep doing. So no is the answer to the second question one. The first process is just getting started. We will be interviewing search firms over the next several weeks. We hope to have a search firm under contract within 30 days and then the process will be the process. I think that those who've been through this before would tell you that it might takes six months, that would be very disappointing to me. I hope to have it wrapped up well before that.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. And then maybe this is a question more for Joe. Joe, you tapped 27% of your PDR in the first quarter here, given that the claims tend to grow in the ACA business through the year, don't you think your – that would imply you've got more risk going into the back part of the year for your guidance to be maintained?
Joseph W. White - Molina Healthcare, Inc.: I don't really look at it that way. As the year rolls out, obviously, we've got nine months, we've got nine months of PDR to focus on versus 12 months that we had at the beginning of January and we've gotten better insight into developments this quarter with the benefit of three months of experience. So no, I'm feeling pretty good about our PDR right now.
Peter Heinz Costa - Wells Fargo Securities LLC: And did you have any other PDR left – or any charges left from last year that can be applied for the risk adjusters when they come out in June for last year?
Joseph W. White - Molina Healthcare, Inc.: I'm sorry, could you ask that question again, Peter, I didn't quite follow.
Peter Heinz Costa - Wells Fargo Securities LLC: When we were in the risk adjusters for last year in terms of how that played out, do you have anything left in reserve for that at this point or is that expected to be booked – you booked it already?
Joseph W. White - Molina Healthcare, Inc.: I think we're pretty tight on our reserve estimates, I don't think they're overly conservative if that's what you're asking. So no, I don't think there'll be a benefit when we settle up. I think we're pretty much spot on in terms of our estimates of 2016 risk adjustment right now.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. And the last question is just sort of a detail. It looked like the guidance is down by about $0.03, is that correct, or is there something else that I'm not understanding about the overall guidance number relative to where you look for?
Dale B. Wolf - Molina Healthcare, Inc.: No, what we've essentially done is, we've confirmed guidance. We then added on to that the benefit of the Aetna-Humana break-up fee. And again, we haven't put any potential severance in there, so that's open. But no, I think what might be confusing you is guidance assumes a higher share count than is in our first quarter results. So that creates about a $0.03 difference between the $0.84 we reported in the benefit for the Aetna-Humana transaction this quarter based on first quarter share count, but for guidance share count it would only be $0.81.
Peter Heinz Costa - Wells Fargo Securities LLC: Got it. That makes sense. Thank you gentlemen.
Dale B. Wolf - Molina Healthcare, Inc.: It's all arithmetic.
Operator: And our next question comes from the line of Tom Carroll with Stifel. Your line is open. Please go ahead.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: Hey, guys. Thank you. If I could just follow-up on Peter's question initially Dale about the CEO search, I wonder if you could give us a sense of kind of your thinking about that role going forward at Molina? I mean, thank you for the timing, less than six months sounds great. But is this a person that, maybe came directly from the Medicaid world in the past, is this a person that came out of Medicare or is it maybe a combination of government focused candidates you're going to look at or everything really on the table in terms of options?
Dale B. Wolf - Molina Healthcare, Inc.: Everything is on the table in terms of options. I think it would be a great benefit to have someone who is pretty damn familiar with the government business, Medicaid for sure and hopefully some Medicare. So you know how you do these things, we're going to look for best athlete, but part of best athlete is having the right sets of experience.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: And then is there the beginnings of maybe an operational improvement plan outside of what we've already heard from the company that you could tell us about or is this something that really is going to be formulated by the new leadership?
Dale B. Wolf - Molina Healthcare, Inc.: I think that somewhere in the middle, it's nothing we're prepared to share today, but while we're searching for a CEO this place isn't going to stand still. And the team here with interim leadership by Joe is going to be focused with the board on what we need to get going. And we're not going to wait for the new person to come, they will certainly be a big player in that, but we'll be working in the coming weeks and months on some of those initiatives directly.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: So, it's fair to assume you've got a kind of a punch list of things to do that you're starting on right away as opposed to waiting? That's what it sounds like.
Dale B. Wolf - Molina Healthcare, Inc.: Punch list makes it sound too flushed out and specific, but thoughts would be a better description.
Thomas Carroll - Stifel, Nicolaus & Co., Inc.: Okay, very good. Thank you.
Operator: Our next question comes from the line of Chris Rigg with Deutsche Bank. Your line is open. Please go ahead.
Chris Rigg - Deutsche Bank Securities, Inc.: Good afternoon. I guess I just want to make sure I'm not reading too much into the delay in the annual shareholder meeting and the management changes, but was there anything, and clearly you're now appointing the people as executives, Dr. Molina and John, but was there anything as a part of sort of the normal proxy process that sort of raised some additional red flags with regard to the management team. Thanks.
Dale B. Wolf - Molina Healthcare, Inc.: So the reason for the delay in the shareholder meeting is that it is a requirement that all material information be in the hands of stockholders with sufficient time to evaluate and consider it before they cast their shares. So we therefore deemed it would have been inappropriate to hold the meeting tomorrow with this important news today, and that is entirely the basis of the one-week delay, it is to make sure we complied with that rule.
Chris Rigg - Deutsche Bank Securities, Inc.: Okay. And then just wanted to circle back up on the letter that the company had sent to congressional leadership last week. One of the things that jumped out to me was the comment that said if the cost sharing reductions or subsidies remained in place that Molina would continue its participation in the health insurance exchanges in 2018, and that seems to run a little contrary to the way management had talked about their participation at the Investor Day. So I guess is that the company's stance right now. So as long as the subsidies are maintained, you guys will continue to fully participate next year regardless of how things ultimately track through the quarter here? Thanks.
Joseph W. White - Molina Healthcare, Inc.: Hi, it's Joe speaking. I think a better way to express that would be that funding of the CSR is almost certainly a requirement for our participation in the exchange. It doesn't make it this positive (35:59) that we would indeed participate, but it's difficult, it probably can be done, but it is difficult to price around the absence of a CSR.
Chris Rigg - Deutsche Bank Securities, Inc.: Right. But I guess – and sorry to push you, Joe, but I guess the way I think a lot of people interpreted what you put in there was the CSRs alone were enough to ensure participation, not your financial performance?
Joseph W. White - Molina Healthcare, Inc.: I think that's a little – yeah, I think that's a little bit of a naïve reading of the letter, obviously, there is everything that goes into pricing from the rates to your provider network to competition to everything else. So I wouldn't read it in that light.
Chris Rigg - Deutsche Bank Securities, Inc.: Okay. Thanks a lot.
Operator: And our next question comes from the line of Michael Baker with Raymond James. Your line is open. Please go ahead.
Michael J. Baker - Raymond James & Associates, Inc.: Yeah, thanks. Just wanted to get an updated view on Medicare and how that will fit, because I know recently there was kind of more of a focus in on potentially expanding that more aggressively and just wondering some updated thoughts on that front.
Joseph W. White - Molina Healthcare, Inc.: It's Joe speaking, couple of thoughts on that. First of all, in terms of Medicare, as you can see by the results we published today, we're having good progress, good success in terms of managing costs and improving margins in our Medicare products in general. So that's certainly a highlight. It is a long-term, the company does indeed wish to participate further in the Medicare market, that's going to be a deliberate and measured approach. And to how we do that is not going to be broad-brush, but it is company policy and company practice to engage in markets such as Medicare and we will do that again in a measured and deliberate way.
Michael J. Baker - Raymond James & Associates, Inc.: Thanks.
Operator: Our next question comes from the line of Patrick Barrett with TCW. Your line is open. Please go ahead.
Patrick Barrett - The TCW Group: Hey, thank you for fitting me in. Given the unusual timing of the dismissal, I just want to ask you all to confirm that there was, aside from just performance, there was nothing that we can expect to hear regarding any kind of fraudulent activity or any reason, be it criminal or civil that you decided to make this change in what is certainly perceived as an abrupt way? Thank you.
Dale B. Wolf - Molina Healthcare, Inc.: The information that we shared in the press release as to what was behind the board's thinking and what we've shared on that call today is exactly what we said it is and it's all we said and it's all there is to say. And so all of the things that you've suggested were never a part of that consideration.
Patrick Barrett - The TCW Group: Thank you.
Operator: And we have time for one last question, coming from the line of Ana Gupte with Leerink Partners. Your line is open. Please proceed with your question.
Ana A. Gupte - Leerink Partners LLC: Yes. Hi, thanks. So just a follow-up on the base business on Medicaid, and as you're looking at your plan for margin expansion as you said on your base business, are there any kind of systemic things that you think you can do to improve margins across the board or is this more kind of a local market, state-by-state phenomenon? And finally, as you're talking to governors and if they're concerned at all and I know the vote and all is up in the air, but what might the rate environment look like, and if repeal and replace goes through, might they start crawling backwards in advance of potential cliff in 2020?
Joseph W. White - Molina Healthcare, Inc.: Ana, it's Joe speaking. First of all, I think it is a state-by-state effort. There are certainly certain centralized activities in terms of collecting data, collecting encounter information and there are a number of standard activities that go into getting the right rates for our members. But yes, I think it's fair to say that it is a state-by-state basis. As far as future funding in Medicaid, we as a company understand that government spending for Medicaid, whether federal or state, is going to be constrained more in future years and we're trying to build a company that is a low cost provider of care for just that reason.
Ana A. Gupte - Leerink Partners LLC: Okay. All right. Thanks, Joe.
Operator: And there are no further questions on the phone lines at this time. Mr. Orellana, I'll now turn the presentation back to you, you may continue with your closing remarks.
Juan José Orellana - Molina Healthcare, Inc.: Well, thank you very much everyone for joining us today, and we will be updating you next quarter.
Operator: And ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect your lines.